Operator: Good afternoon, ladies and gentlemen, and welcome to ENI's 2019 First Quarter Results Conference Call hosted by Massimo Mondazzi, Chief Financial Officer. For the duration of the call, you will be in a listen-only mode. [Operator instructions] I will now hand you over to your host to begin today's conference. Thank you.
Massimo Mondazzi: Good afternoon and welcome to ENI's first quarter 2019 presentation. In the first quarter, upstream and gas and power sectors delivered positive results while downstream confirmed its resilience in a tough scenario. In upstream, EBIT performance was robust at €2.3 billion plus 25% year on year net on Norway impact thanks to the higher value on new production. Production was 1,832,000 barrel per day, 1.3% lower than last year when Intisar production in Libya was still on stream. In exploration, we confirmed our positive track record with 174 million of BOE on new discoveries, mainly related to the Agogo oil field in block 15/16 Angola, Merakes East in Indonesia and Nour in Egypt. In addition, we are continuing to reload our exploration opportunities with more than 23,000 kilometer of net acreage added in the quarter. In mid downstream, we recorded around €320 million of EBIT, thanks to a strong performance in gas and power with EBIT of more than €370 million due to the performance improvement in both midstream and retail. Refining and marketing results were close to breakeven as marketing subsidized the refining segment which was affected by tight differential between AV type crudes that made it convenient for us to concentrate maintenance in our plants this quarter. Chemicals recorded negative EBIT due to the Priolo offset that outed the plan for most of the quarter. Cash flow before working capital applying the new IFRS 16 was €3.4 billion or excluding IFRS 16, €3.2 billion at the same level of last year covering one point seven times the €1.9 billion CapEx. CapEx guidance is confirmed at €8 billion this year. Leverage was around 16% before applying IFRS 16, the same level of the end of last year. And now a closer look to upstream. On production, we reported a lower volume versus last year. The production was affected by the termination of Intisar contract in Libya at the end of the second quarter 2018. Excluding that event, production performance was robust delivering 200,000 barrels per day [indiscernible] which counterbalanced almost completely Intisar and the nature of depletion. In terms of result, upstream EBIT, excluding Vår Energi contribution, now equity accounted, was €2.3 billion a 25% increase on a like for like basis versus last year, boost by the increasing quality of our production mix for around 220 million, lower cost, and exploration activity for 150 and the marginal impact from IFRS 16 principal of around 50 million. Talking about our production mix, a few words on the gas component. Notwithstanding the lower prices in European and Asian ops, we have been able to increase our realization price by 25% from $4.50 to $5.60 per million of BTU, a level that we are expecting to maintain also in the coming quarters. And now let's go deeper into the progress of 2019 production. The next quarter production will be around 1% lower than the first quarter, mainly due to the planned maintenance activity in Kazakhstan, Norway and U.K., while, in the second half, we anticipate a strong production growth as a result of the following additional contributions: more than 40,000 boe per day from the start-ups of Berkin in Algeria, Area 1 in Mexico, Baltim Southwest in Egypt and Trestakk in Norway; and around 80,000 boe per day, mainly related to ramp up around the 45 and higher contribution from Kazakhstan, Norway, Iraq, Nigeria and U.S. Our yearly guidance of around 1.88 million barrels is confirmed. To conclude the upstream section, let me update you on the discounted net cash flow of proved reserves, a metric that confirms the quality of our upstream portfolio. In unit returns, with $9.2 per barrel of discounted net cash flow, we confirm our top ranking. This is due to the low level of unitary production and development cost, top of the rank at $17.6 per boe, thanks to the quality of our conventional asset mainly inherited from exploration successes. And to the outstanding unit selling price of $44.9 per barrel at the top end of the range, notwithstanding one of the highest exposure to gas in terms of P1 reserves with around 70% of our gas sold to domestic markets. And now let's move to mid downstream. Gas & Power EBIT was strong in excess of 370 million. This result was driven by gas and LNG marketing in Power business with 226 million of contribution, thanks to the improved result both in trading activity but mainly in the gas business, where we have been able to extract value from the flexibility of our portfolio of gas contracts in a scenario of positive spreads between European ops. These positive performances more than offset the lower contribution of the power business and the LNG, which result was extraordinary in the first quarter of 2018. Gas & Power retail delivered a result of €146 million, a 3.5% increase versus last year or 10% excluding the effect of mild weather of this quarter. This quarter result, typically the highest quarter of the year, strengthened our full year Gas & Power guidance of around €500 million. Refining & Marketing was at breakeven. Due to the recent appreciation in EVI and high-sulfur crudes. Driven by geopolitical issues and OPEC cuts, we decided to concentrate maintenance of Sannazzaro and Livorno refineries this quarter. Consequently, refining results were negatively affected by a lower utilization rate, minus 11 percentage points year-on-year. The restart of the S plant and the completion of the maintenance activity will now allow us to capture the full benefit of the IMO expected in the second part of this year. The startup of Gela bio plant in the coming months will farther announce the result of our refining activities. The robust performance in marketing almost compensated the refining temporary weakness. Finally, Versalis was impacted by the fire in Priolo plant that halted production for more than 2 months and is now restarted. This had an EBIT impact of around €70 million in the quarter. CapEx are in line with the guidance. In the first quarter, we spent €1.9 billion, which 85% devoted to the upstream, mainly for the development of our projects by plant that are on track and within budget to deliver the planned production growth. R&M and Versalis spent 11%, mostly for the completion of the green refinery in Gela and the restart of S plant in Sannazzaro. As in the past, we remain fully committed to maintain our disciplined approach to investment. Cash flow from operations before working capital and before the implementation of IFRS 16 was €3.2 billion, in line with the last year results. The working capital cash absorption of €1.3 billion or €1 billion net of the settlement of a U.S. arbitration is mainly due to seasonal draw from Gas & Power and is expected to be largely reabsorbed by the end of this year. During the quarter, we generated a free cash flow before working capital changes of €1.3 billion, well in excess of the pro rata quarterly need of our dividend. Cash flow from operations and free cash flow are in line with our yearly expectations. EBIT adjusted at €2.4 billion confirmed the same performances of last year, notwithstanding the deconsolidation of Norway and the net negative impact of around €190 million of unrealized profit in stock, mainly related to oil not yet sold to the final market at the end of this quarter, partially offset by the benefit of the IFRS 16. Net of this impact, we recorded a growth of EBIT by 17%. The net income of around €1 billion was marginally impacted by the IFRS 16 application, more or less EUR 30 million. Leverage ante IFRS was 16%. Thank you very much. And now together with my colleagues, I'm ready to answer any question you may have.
Operator: [Operator Instructions] The first question is from Clint Oswald with Bernstein. Please go ahead.
Oswald Clint: The first on the gas realization, you mentioned that they're at $5.60. I think I have to go back pre-2014 to see your gas prices at that magnitude. You mentioned it's sustainable for the next couple of quarters, but I just wanted to look a little bit longer term into 2020, 2021 especially as you ramp up more gas fields in Algeria and Egypt and Indonesia. Is that level of gas price sustainable over a multiyear period is my first question? And the second question, more short term on the Gas & Power result here this quarter. You said it's not LNG, it's not power. It's more trading. So I wonder if you can just explain exactly what you mean by extracting value here by kind of trading around the European continent? Could you give us a bit more clarity around what that trading strategy is please and if it's obviously, yeah, sustainable, please? Thank you very much
Massimo Mondazzi: Okay, Clint, I'll give you the answer to your first question and then I'll let Christian answer on your second one. So, in terms of gas prices, the answer is yes, we believe that this level of gas prices are sustainable for some reasons. First of all, the harbor in which we are exposed the most is the [indiscernible], the Italian harbor and the average gas prices that they mention is being got in an environment that is the first quarter 2019 environment with a price of 222. So, even less than what we projected, that still we project for the entire year that is in the range of 216. So, this is a confirmation that this level can be really achieved. As far as the production that is elsewhere, so not exposed to the [indiscernible], for example, the Egyptian or the Indonesian. The Egyptian, yes. So, maybe you may recall that we do not disclose entirely the gas formula as far as [indiscernible], but you know it has been said that the formulas not completely linked to the oil. So, first of all, it is a formula that is in some way linked to oil and second means that today with such an oil environment may be the price could be even a bit higher, but you know the price is not an entire flexibility to the oil price. So, the prices been in first quarter exactly the same it has been in the quarter fourth quarter 2018, so more or less stable. Indonesia is more or less related to the far east LNG ops so it would depend on the price today are little bit depressed but are part of the overall number that I gave you, and we expect it could be -- could recover in the near future. So, the answer is yes, we believe that it can be sustained and if we see correctly it will likely increase in the [indiscernible] price all along the nine months before year-end, and you could see even it's likely to increase on that number. And then I'll leave the floor to Christian for the second answer.
Cristian Signoretto: Yes, good afternoon. So, on the first quarter result of gas and power 2019, we have technology that the market environment was fairly different from last year first quarter because last year first quarter there was a bullish tightening market especially on the LNG which allowed us to monetize our flexibility of the LNG portfolio whereby this year, the LNG has been pretty weak on the first quarter. But to the other extent the volatility of the scenario, especially a price scenario has been fairly strong and so we were able to take advantage of the optionality which are embedded in our European gas portfolio in order to take advantage of the volatility in order to capture all the optionality which were part of the asset base. Going forward, clearly, difficult project volatility evolution. Surely, we see a price environment which is fairly weak. So, we think that most of the value has been accrued already in this first quarter and so we don't see now reasons to change our guidance.
Operator: The next question is from Irene Himona from Societe Generale.
Irene Himona: I had two questions on Refining & Marketing. So firstly, in the recent strategy presentation, you guided to 2019 EBIT of 700 million, including Abu Dhabi. Is it possible to give us some guidance excluding ADCO now that Q1 results are in? And secondly, again excluding ADNOC, what is the targeted 2019 refining breakeven margin, please? And finally, in Q1, what was the marketing EBIT?
Massimo Mondazzi: So Irene, good afternoon. So your first question, the R&M expected EBIT of 700 million excluding ADNOC, as far as 2019, the contribution of ADNOC is really minor. So I would say just a very few tens of millions, could be in the range of 650 million, the expectation. And then maybe I'll leave the floor to Giuseppe Ricci to give you the answer to the other questions.
Giuseppe Ricci: The EBITDA of Refining & Marketing excluding ADNOC is, more or less, two-thirds about the marketing and one-third about the refining. Our forecast is 430 million for the marketing and 220 million for the refining, with a breakeven margin that should be around the $3.50 per barrel at the end of the period with all of the plant in operations.
Massimo Mondazzi: Yes, Irene. So the breakeven was $3, you remember, at the end of 2018, now we are saying $3.50, taking into consideration also that the Bayernoil refinery that we partially own will be not in production all along 2019. So that's the partial reason to increase our breakeven from $3 to $3.50. As far as the medium term, our expectation remained the one that we mentioned. So a bit lower than $3 including ADNOC, when ADNOC will be fully, let's say, consolidated in our numbers. And the number that will be in the range of $1.50, $1.70, around 2022, '23, when the upgrade in the existing asset in ADNOC will be completed.
Operator: The next question is from Alessandro Pozzi with Mediobanca.
Alessandro Pozzi: I have two questions. The first one is on the U.S. settlement. And I was wondering if, potentially, we should see a positive impact filtering through the income statement going forward. And also on the cash flow, I believe there is a quite large dividend received from equity investments. I was wondering if you can perhaps give us a bit more color and how we should expect a dividend from equity investments going forward throughout the year. And finally, perhaps you can give us an update on what you see net debt at year-end, let's say, pre-IFRS 16?
Massimo Mondazzi: So as far as the U.S. settlement, we mentioned some times before that the U.S. settlement is related to some liquefaction capacity, a long-term contract that we had in the Gulf of Mexico that has been for a long time under negotiation. We ended up with an arbitration. The arbitration is causing now the payment of more or less 300 million. We accrued more than that in our balance sheet, and the number has been released in our net income at the end of last year. So no more effect and the settlement now is definitive. In term of cash flow, the equity investment in term of dividend at the -- obviously, this year, the most important contributor is Vår Energi, while in the future, ADNOC will take a significant part to this. The third question was about net debt? So you mentioned our standard net debt before the IFRS 16? Okay. More or less in line with what we projected presenting our strategy presentation, so more or less 0.2, 0.21, including definitely the payment of more than 3 billion to acquire a 30% stake in ADNOC refinery.
Alessandro Pozzi: Okay. And going back to the dividend received, that is going to be lumpy over the next 2 quarters? Or how should we...
Massimo Mondazzi: The dividend from Vår Energi this year would be divided in 2 quarters, first quarter and the second quarter. As far as ADNOC, there will be an interim based on the semester result. And then the second tranche, I would say, as the balance sheet -- as the financial statement will be approved, so around March, April. Every year, obviously.
Operator: Next question is from Peter Low with Redburn. Please go ahead.
Peter Low: The first one was you reiterated 2019 production guidance at $62 a barrel. Can you give us any indication of the potential PSA impact on that should prices remain around current levels? And the second was just a follow-up on R&M, and sorry if I missed this answer earlier. It's on that target, €4.7 billion of EBIT this year. Given the first quarter result and the current margin environment, do you still think you can reach that level? Or should we now assume that, that comes in below that level?
Massimo Mondazzi: Okay. So as far as the sensitivity to the oil price, the amount is very small. So half -- so 500 of that -- 500 of barrel each dollar. So quite limited. So 500 each dollar. And as far as the expected result from Refining & Marketing, I would say yes. Based on our forecast, we confirm the €0.7 billion as an EBIT for 2019. Assuming our scenario margin of five. So, we still expect the recovery of this margin in the remaining nine months. As in the first quarter, the margin has been at 3.4.
Operator: The next question is from Henry Tarr with Berenberg. Please go ahead.
Henry Tarr: Hi there, thanks for taking my questions. Just a couple, one on the production outlook just near term for Q2, obviously, we've got the Kazakhstan outage, and I think it was maintenance at Gela as well. And then if you could also just give a quick update on current activity in Libya and Venezuela, that would be great. Thank you.
Massimo Mondazzi: Okay, so I'll leave the floor to Alessandro to answer your question about the maintenance and second-quarter and then Antonio to elaborate a little bit on Venezuela and Libya.
Alessandro Puliti: Okay, and second-quarter we have some major turnaround that are involving Kazakhstan with the Kashagan field, Goliat in Norway, and also Ekofisk in Norway, J-Block and Liverpool Bay in the UK and Baldor in the UK. So, those are the major turnaround of second-quarter. And we expect a production reduction more or less of 60,000 barrels per day.
Antonio Vella: Okay, concerning the actual situation in Libya, and tell now our operation are stable we are making all the normal activity to keep our rates and we are keeping 280,000-barrel equity until the mid of this year and then we have some maintenance on the second half and we are keeping and year rate 275,000 barrel per day. The situation is under control as of today. So, the activities remaining in crude change are in normal operation. Concerning Venezuela, it's a situation in countries is unstable. Our production in Paria, it's moving between 300 to 500 million scuffs a day SCF per day, it is not stable upon the request of the local market. Nothing to mention on the efficiency of the plant. Everything is moving quite well. Thank you.
Henry Tarr: That's great. So just to confirm, the expected impact of maintenance in 2Q as you see it today is about 60,000 barrels a day?
Massimo Mondazzi: Yes, correct.
Operator: The next question is from Biraj Borkhataria with Royal Bank of Canada.
Biraj Borkhataria: Just one on the upstream. It looks like your production guidance is quite heavily weighted towards the second half of the year. Could you just talk about how much contingency you have in that 2.5% growth guidance? And also just to follow on, on Henry's question, what is the base case assumption for Libya and Venezuela embedded into your guidance for this year? And then the second question in the downstream, you mentioned that you brought forward some maintenance in the first quarter. Could you talk about whether there's any significant maintenance in R&M or Chemicals for the rest of 2019?
Massimo Mondazzi: Okay. Alessandro to answer your first question and then Dino and Daniele about Chemicals, the second one.
Alessandro Puliti: Okay. In terms of contingency for 2019, we are covering around 37,000 barrels per day of contingency in equity. And the other question was for Dino, I believe?
Massimo Mondazzi: About maintenance in refinery and chemical.
Unidentified Company Representative: Because of the low SAM, low margin in the first quarter, we decided to anticipate the Sannazzaro and Livorno maintenance in the first quarter. And so for the rest of the year, we only have a maintenance of FCC in the Milazzo refinery.
Daniele Ferrari: On the Chemicals -- I'm sorry. On the Chemical side, we have the maintenance shutdown planned for the site of Priolo in the second part of the year, which we are repositioning at the moment and trying to rephase as much as we can to recover some of the issue we had at the beginning of the first quarter.
Biraj Borkhataria: That's great. Just to follow up on the upstream question. Could you tell me what your embedded assumption is for Libya and Venezuela in the 2019 guidance?
Massimo Mondazzi: In our -- 1.88 million more or less. The expected production for Venezuela is in the range of 50,000 boe per day, so a bit less than plateau, 5,000 less than plateau and more or less in line with the production we got in 2018. While in -- from Libya, the expected production on average is 270 more or less, 270,000 boe per day, yes. So a bit less than the production we got in the first quarter.
Operator: The next question is from Michele Della Vigna of Goldman Sachs.
Michele Della Vigna: I have two quick questions, if I may. The first one is whether you target to close the farm-out in Mexico Area 1 this year and how much you expect in total from disposals for 2019. And then secondly, whether you could give us guidance on DD&A for this year, including IFRS 16.
Massimo Mondazzi: Okay. So in term of disposals, yes, we believe we can cash in the dilution in Mexico. And we expect something in the range of €300 million all in all, including some other minor disposals. And the second question, the DD&A. On the DD&A, we expect a level in the range of $11 per barrel in 2019. That more or less is in line with the previous year, and we do not expect a significant effect caused by the implementation of the new accounting principle.
Operator: The next question is from Bertrand Hodee with Kepler Cheuvreux. Please go ahead.
Bertrand Hodee: The first one, coming back on the dividends from Vår Energi, there, you cashed in some $600 million in Q1. Massimo, you hinted that you will receive another payment in Q2. Can you quantify it? Will it be around the same amount? And then the second question, it's related to European gas price and LNG. You made a scenario in 2019 with $8-plus NBP U.K. gas prices. We are well below that. Can you give us the sensitivity to your cash flow for $1 per Mcf change in European gas price? Or if I can reformulate the other way around, when you are giving sensitivity to your cash flow for a Brent move, you assumed that Brent and natural gas price are moving in the same direction, which is clearly not the case since the beginning of the year and which could be sustained, especially if the energy market continue to be in oversupply as it is today. So thank you for your answers, Massimo.
Massimo Mondazzi: Okay. So in terms of dividend we are going to receive from Vår Energi in the second quarter, yes, the amount will be in line with what we got in the first quarter. And talking about the gas price, you know that our exposure to the NBP is very limited. So our gas production in U.K. is very limited and we don't have other production related to the NBP. So as I said before, the most important hub of reference for us is PSV that some way is linked to the TTF. And I would say, it was what I just said. So the level of gas prices we got in the first quarter are the ones that are related to €220 per thousand standard cubic meter in terms of PSV and more or less 20, 23 less in terms of TTF. More or less, we have something in the range of 15 billion, 17 billion standard cubic meters of gas, equity gas exposed to the European ops. So more or less, any €10 per standard -- per thousand standard cubic meter will represent starting in the range of 150 million of revenues before taxes and whatever. Something that definitely cannot jeopardize our production -- sorry our cash flow looking forward.
Operator: The next question is from Christopher Copeland with Bank of America. Please go ahead
Christopher Copeland: Thank you very much for taking my questions, I've got one left I think, and it's going back to the same old topic of Vår Energi. You mentioned the dividend payment, very helpful to know Q1 and Q2 dividends coming through, what can you say about dividend payments beyond 2019? It looks to me that the total 1.7 billion payment from Vår Energi is a bit of a special, but anything you can say in terms of how the progress is been since demerging the company and how its financial performance is making you feel about the dividend potential coming back to ENI in the next few years? Thank you.
Massimo Mondazzi: So, you're right, the dividend we are going to receive all in all in 2019 is something special. I don't have numbers to share with you as far as the future dividends. It will depend on the scenario, whatever. The logic, the rationale we agreed together with our partners, is to distribute all the spare cash after the development cost. That's in the next two to three years will be anyway remarkable as the bold approach at the annual CSPR project will enter into the development phase. The idea anyway, is to distribute all the spare cash after the coverage of CapEx and definitely the dividend, sorry the CapEx. Hello?
Christopher Copeland: I think I got the answer. Thank you very much.
Operator: The next question is from Thomas Adolff with Credit Suisse. Please go ahead
Thomas Adolff: Good afternoon, a few questions from me. Just going back to the contingency buffer in upstream, you've mentioned 37 KBD, and I wondered as far as 1Q is concerned, are we in the plus or are we in the minus? Are we running better than expected or actually running slightly worse than expected and the reasons around that? Secondly, the refinery margin in the first quarter was $3.4 per barrel; perhaps you can share with us what the March and April level was for the sum? And then finally, just on Norway, going back to Norway, when I look at net income from investments in the fourth quarter and compare that to the first quarter 2019 when Var was included, I wondered how much Var contributed below the line for 1Q? Thank you.
Massimo Mondazzi: Okay, so in terms of production contingency, Alessandro?
Alessandro Puliti: In terms of first-quarter results, in terms of contingency, we are a bit less than what we were expecting but say around 8,000 barrels per day.
Massimo Mondazzi: So in term of refining margin, the current level is close to four. And in term of Vår contribution, below the line and the first quarter has been in the range of €35 million.
Operator: The next question is from Massimo Bonisoli with Equita.
Massimo Bonisoli: Three questions left, very quick. The first on production. If you have any reference on production exit rates for 2019 just for modeling purposes. The second, on Versalis. Will you have additional cost to fund the fire in Priolo over the next -- over the rest of the year? And the third, any changes on the tax rate guidance following first quarter of very low tax rate in upstream and the consolidation of Vår Energi?
Massimo Mondazzi: Okay. So in terms of tax rate, definitely, the 54-point-something tax rate we got in the first quarter has been positively affected by the Norway deconsolidation, you know Norway is 78% tax rate. We believe that assuming the level of Brent that we are assuming for the full year 2019, so 62, the tax rate we expect this year will be in the range of 57%, 58%. So more or less in line with the guidance that we gave at $60 Brent, more or less, 60% in term of tax rate. In term of production, Alessandro?
Alessandro Puliti: Okay. In terms of exit rate, we do expect a four quarter in an average of 1,000 and 185,000 barrels per day.
Massimo Mondazzi: In terms of cost, as far as the Priolo fire, I said that the cost in the first quarter has been 17 million. On the full year, as we have the business interruption insurance coverage for that plant, we expect something less -- as a net cost, something less than 70 million, so could be in the range of 50 million, €50 million.
Operator: The next question is from Jon Rigby with UBS.
Jon Rigby: Can we just -- a few things. One, I just want to return to that, the answer you gave on tax. So just to understand what drives the increase from 1Q across the rest of the year in terms of the tax rate you're recording, particularly, I guess, in the upstream. The second question is on -- for downstream. Can you just -- are you able to give some kind of indication of the contribution that the EST unit provides to the downstream when it's running, let's say, your -- at your assumed [sum], so to get some idea about what the delta is once that starts up again. And then the last question is on LNG. Can you -- in terms of the contribution in the Gas & Power business, can you sort of characterize what's driving that? And how you're splitting the contribution between the upstream and the midstream? The reason I ask is, very clearly spot LNG prices were very low in the first quarter, they may continue to be low for the rest of this year, but contract LNG prices are likely to rise again, so -- just with the lag to the oil price. So I'm just interested to understand the dynamic and how the interaction works between the upstream and the midstream.
Massimo Mondazzi: So as far as the tax rate, Jon, the difference between this 54.4% and 57% that we expect all along this year is, I would say, rounding. So there is no -- there is a different maybe contribution of different upstream countries that could modify a little bit the average, but we are talking about a number that would be in that range. The contribution is coming from so many, many countries and the composition of the portfolio in terms of production could change a little bit. So that's the reason why we could have very few percentage points of difference between the quarter and the full year. And I'll leave the floor to Giuseppe Ricci to talk about EST and then LNG, Cristian.
Giuseppe Ricci: The contribution at regime of EST is in the range of €120 million per year in term of EBITDA after the situation, the condition of budget. And there could be an increase or decrease depending to the spread of diesel, high-sulfur fuel oil.
Operator: The next question is from Martijn Rats with Morgan Stanley.
Massimo Mondazzi: Sorry, we are still answering the previous questions. So please, Cristian, go ahead.
Cristian Signoretto: So if I understood well, you want to understand better the revenue profile between upstream and midstream as far as LNG is concerned. So on the upstream side, basically, the revenue profile is indexed to oil, okay? So the upstream part is indexed to oil. Whereby, the midstream is taking a responsibility to manage the swing between oil and the market. But on that part, you have to understand that a big part, a big chunk of our sales strategy is actually hedged vis-à-vis the buying, let's say, exposure. So there is just a limited amount of LNG, let's say, portfolio which is exposed to the spot prices. I hope this answers your question.
Jon Rigby: I lost that answer. Maybe it's better I follow up later.
Operator: The next question is from Martijn Rats with Morgan Stanley.
Martijn Rats: First of all, I wanted to ask about balance sheet gearing, given the sort of the new sort of order of magnitude that this is in at sort of post-IFRS. Once the ADNOC acquisition is complete, where do you sort of see this number going? And from there, is there a specific sort of de-gearing target? Is there a sort of an objective where, ultimately, you'd like balance sheet gearing to be post both the IFRS adjustment? And secondly, I wanted to ask about LNG. I was wondering if Eni is interested in participating in some of the Qatari LNG expansion projects. And if so, how you would trade those off against opportunities that you also have in Mozambique?
Massimo Mondazzi: So, Martin, in terms of getting -- you know we don't have a precise gearing guidance, we have a leverage guidance and so no target in this respect. In terms of number including the ADNOC acquisition, that could be I would say what we expect considering everything in our scenario and so on and the new IFRS; we expect a gearing that will be in the range of 24%.
Martijn Rats: And on Qatar?
Massimo Mondazzi: In terms of Qatar, I'll leave the floor to Antonio.
Antonio Vella: So, we are confirming our interest in the tender for Qatar LNG expansion project, but we are waiting that Qatar is coming out with a formal bidding round. No other information at the moment.
Operator: The last question is from Lucas Hermann with Deutsche Bank. Please go ahead.
Lucas Hermann: Gentlemen, good afternoon. You're very fortunate my questions have all been answered, thank you very much.
Massimo Mondazzi: Any additional questions?
Operator: Mr. Mondazzi, that was the final question, I will turn the question back to you, sir, for any additional comments.
Massimo Mondazzi: Okay, just to say thank you very much for attending this call, I'll see you soon. Bye-bye.